Operator: Good day, and welcome to the Triple-S Management Third Quarter 2018 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Garrett Edson, Senior Vice President of ICR. Please go ahead, Garrett.
Garrett Edson: Thank you, and good morning. Welcome to the Triple-S Management third quarter 2018 earnings conference call. With us today are your host, Bobby García, President and Chief Executive Officer of Triple-S; and Juan José Román, the Executive Vice President and Chief Financial Officer. In addition, Madeline Hernandez, Chief Operating Officer and President of Managed Care, will be available during Q&A. By now, everyone should have access to the earnings announcement, which was released prior to this call and which may also be found on the company's website at triplesmanagement.com. Before we begin formal remarks, we need to remind everyone that each quarter, Triple-S Management executives will provide their current view of the company's future, and thus, they will be sharing forward-looking information. These statements can be affected by risks and uncertainties involved in the business. Despite management's best efforts, actual results may differ materially from such forward-looking statements and what you hear on today's call. These statements are not guarantees of future performance and, therefore, undue reliance should not be placed upon them. For further information on factors that could impact the company and the statements and projections contained herein, please refer to the safe harbor section in today's news release and the company's filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law. In addition, this call is being webcast and an archived version will be available shortly after the call ends on the Investor Relations portion of the company's website at www.triplesmanagement.com. If you cannot download a copy of the release, you can contact us at 787-792-6488 and we will get one to you immediately and can add you to the distribution list moving forward. With that, I'd now like to turn the call over to Bobby García. Please go head.
Bobby García: Thanks Garrett, and good morning everyone. Thanks for joining us today as we review our results for the third quarter of 2018. Our results overall in the third quarter were clearly impacted by the material increase in our estimated gross losses from Hurricane Maria, so we will spend a fair amount of time today discussing this development. For doing so however, I'd like to stress that our underlying business across all segments is progressing well. We continue delivering on key operational and clinical initiatives and remain keenly focused on our strategic priorities aimed at improving profitability and positioning the company for sustainable growth. Total operating revenue for the quarter was $764 million up 4% from a year ago. This increase reflects continued premium trend improvements in our Managed Care segment, specifically Medicare Advantage and Medicaid, as well as a solid performance in our Life segment. All in, we reported a loss per share of $0.77 in the third quarter compared to diluted earnings per share of $0.91 in the prior year period. Our adjusted net loss was $0.97 compared to adjusted diluted earnings of $0.77 per share a year ago. Excluding the prior period reserve development in the P&C segment, we would have reported adjusted diluted earnings per share for the quarter of $0.60. This compares favorably with the prior year period in which adjusted diluted earnings excluding the estimated favorable hurricane related impact in the Managed Care segments utilization and the hurricane related net retained losses recognized by P&C was $0.55 per diluted share. Again this reflects continued improvement in our core business. We are obviously disappointed that we had to increase our reserve for gross losses related to Hurricane Maria. We are constantly updating our loss reserve estimates as we receive new claims and get new information on existing clients and during September we saw a rush of new claims, as well as amendments to existing claims and the reopening of closed claims right around the first anniversary of the hurricane. Whereas the number of new claims filed per month had been decreasing steadily since landfall averaging 160 from June to August including a low of 147 in August alone, we received 613 new claims in September. We believe this sudden increase was driven by news reports that created public uncertainty as to whether claimants would forgo their claims entirely if they did not file them within one year of the event. I'll note that since the anniversary passed, new claims have drop dramatically. They totaled 40 in October, and are running at a similar clip in November. While reserves may still shift as by definition their estimates that may develop upward or downward based on the significant drop in new claims the percentage of cases close, the status of individual case reserves, and the additional reserve taken in the third quarter we do not expect further significant loss developments moving forward. Given the increase in our loss reserves, risk-based capital at our P&C segment will fall below the minimum requirement requiring a plan to increase the capital and surplus. To that end and with pricing now much more favorable that we have seen in the second quarter, we decided to enter into a five-year high excess cover reinsurance agreement effective as of April 1, 2018. The reinsurance provides us with several key benefits. First, it retroactively provides us with $50 million in spillover coverage of the incurred losses for which we reserved during the third quarter. Second, we locked in reinsurance pricing for five years of umbrella coverage for $180 million in perspective losses from future storms or earthquakes. This protects us from any pricing increase for this portion of our reinsurance coverage during that time. Third, if our loss estimates proved to be conservative and we have a favorable reserve development over the covered period, we will be entitled to the return of a portion of our premium, at the end of the agreement in 2023. Finally, the retroactive reinsurance provides P&C with additional statutory capital and surplus improving its RBC ratio and reducing the capital contribution required from the parent. This allows us to preserve capital to continue our strategic transformation. We have submitted a plan to the commissioner of insurance which is pending approval to increase RBC at the subsidiary level. As part of that plan, we would issue surplus notes for the subsidiary of up to $22 million, $10 million by year-end and the difference as necessary by second quarter of 2019. In a few minutes Juan José will walk you through additional details of the reinsurance agreement and its impact on the financial statements. Our decision to acquire retroactive excess cover reinsurance, an issue surplus notes resulted from a careful evaluation of the P&C market in Puerto Rico post Maria. While significant adverse development over the past two quarters has given us pause, we believe our P&C segment's underlying business fundamentals are sound, a hard pricing market, a reduction in the number of players, and our enhanced reinsurance coverage point to a solid return on investment for our P&C segment in the coming years. So barring any unexpected future losses, we intend to support this recovery and growth. Perhaps most importantly and as I mentioned earlier, these reserve developments have no impact on our long-term growth strategy re on our Managed Care performance. Our team has remained keenly focused on execution of our key initiatives and that commitment is producing positive results. We selected [indiscernible] our PBM in September and are scheduled to consolidate our pharmacy benefits for our commercial and MA businesses under one banner in January 2019. We signed a contract to participate in the revised Medicaid plan for Puerto Rico which we launched last week. While our assigned membership of 280,000 beneficiaries is well below our prior number and Medicaid premiums are therefore expected to decline in the fourth quarter, we are seeing encouraging signals from our points of sale and service in the early stages of the open enrollment period. This suggests that Medicaid members recognize the value of the Triple-S brand, the breadth of our network and the quality of our services which should lead to greater membership in 2019. Also as Juan José will discuss in detail, our overall adjusted MLR improved 110 basis points year-over-year and finally shortly after the end of the quarter we were excited to learn that our Medicare Advantage HMO offering reached to 4.5 star quality rating for payment year 2020 confirming the strength of our provider relationships and the effectiveness of our clinical and operational initiatives. In terms of guidance, we are maintaining our directional guidance for the Managed Care Commercial and Medicare membership and reducing expected Medicare MLR while raising directional guidance for premiums earned in our life insurance segment. More specifically for our commercial business, we continue to expect full-year at-risk member month enrollment to be between $3.7 million and $3.8 million and MLR for the full year to be between 8.5% and 82.5%. In our Medicare Advantage business, we continue to expect member month enrollment between $1.25 million and $1.35 million and we now expect full-year MLR for 2018 between 84% and 86% down from our previous expectation of 85% to 87%. Life insurance premiums earned for 2018 are now expected to be between $165 million and $167 million up from our previous expectation of between $160 million and $164 million. Property and Casualty continues to expect premiums earned for 2018 between $82 million and $86 million. Finally, our outlook for consolidated operating expenses for year 2018 is now between $550 million and $555 million up from the fire range of $530 million to $545 million mostly reflecting higher expenses related to Medicare open enrollment and the new Medicaid model implementation. To sum up, we're confident that the worst of the reserve development in P&C is now behind us and we believe the additional reinsurance we purchased will help to ensure that this segment meets its RBC requirements as soon as possible. Meanwhile, our core managed care segment particularly our Medicare Advantage offering continues to improve. We remain very well capitalized despite the reserve developments and our long-term growth strategy remains on track. Juan José will now provide you with more specific financials by business segment. Juan José?
Juan José Román: Thank you, Bobby and welcome to everyone on this call. I am going to discuss our third quarter results emphasizing the results of our managed care segment and the claims development of our property and casualty segment. As Bobby mentioned, our results this quarter reflect continued improvement in our Managed Care segment but we're again negatively impacted by the unfavorable prior period reserve development in the property and casualty segment. I will discuss this development in a moment but we’ll first discuss the Managed Care quarterly results. Before getting into the details, I would like to remind everyone that the 2017 third quarter results for the Managed Care segment were held by the aftermath of Hurricane Irma and Maria. This is consistent with our experience following our catastrophic events. Our view against Irma and Maria primarily reviews the utility station of Managed Care services until our membership and provider network deals with a fall out from the storm. The hurricanes are also had a destructive effect on the entire claims submission, adjudication and payment process. Let me now discuss the Managed Care results. Managed Care premiums for the quarter were $27 million higher than a year ago, primarily reflecting increased Medicare and Medicaid premiums. In our Medicare business, earned premiums were 7% higher than last year, largely reflecting the increase in the fee-for-service benchmark for Puerto Rico in 2018, an increase in premium rate related to a 4 star rating we achieved for our 2018 HMO product, and higher average risk scores. These increases were offset impart by a decrease in member month when compared to last year. A 5% increase in our Medicaid earned premiums, mostly reflects higher membership approximately $9 million related to the achievement of the contracts quality incentive metrics and nearly $4 million related to the restatement of the HIP fee pass-through in 2018. These increases were partially offset by the recording of approximately $6 million profit sharing accrual with assets. As a note, with the new Medicaid plan in effect as of November 1, impacting our member count, we expect fourth quarter earned premium to be materially lower than they were in the prior year period as it will take time to regain market share. In addition, we expect 13 additional operating expenses related to the implementation of the new model. In our commercial business, earned premiums were slightly lower than last year mostly due to lower fully insured membership and partially offset by the reinstatement of the HIP fee pass-through and premium rate increases. The lower membership has been largely driven by attrition within existing accounts, reflecting the prolonged weakness in the Puerto Rico economy. Managed Care claims were up $27 million year-over-year, primarily driven by the normalization of utilization pattern in 2018 when compared to the reduced utilization experienced in 2017 as a result of Hurricane Irma and Maria, which we estimate lower 2017 Managed Care claims by approximately $33 million, and 2017 MLR by 500 basis points. After adjusting for research development, risk at revenue and impact of hurricanes, the readjusted MLR of the Managed Care segment improved by 110 basis points over last year. Let me give you more details in the MLR for each of the Managed Care segment. Medicare MLR of 80.3% improved 300 basis points when compared to the same period last year. Even with hurricane related reduced utilization in the prior year period, which lowered the prior year MLR by approximately 580 basis points or $15 million excluding impact of prior period reserve development moving risk or revenue to its corresponding period and adjusting for a 2017 Hurricane related impacting utilization. Medicare MLR in 2018 would have been 82.7% a 510 basis points decrease from the prior year. The lower adjusted MLR mostly reflects higher average premiums. Medicaid MLR was 85.9% a 510 basis point improvement compared to last year. We estimate that the 2017 Medicaid MLR was lower by approximately 50 basis points as a result of the estimate Hurricane related drop in utilization excluding the impact of prior period reserve development an adjusting for 2017 Hurricane related impact in utilization the recasted Medicaid MLR would have been 87.3% 50 basis points lower than last year. Our commercial MLR of 84.5% is over 1100 basis points higher than last year. We estimate that the 2017 commercial MLR has an approximate 830 basis points reduction then the estimated Hurricane related decrease in utilization or 16.6 million. Excluding the impact in both periods or prior period reserve development and adjusting for the 2017 hurricane related impact in utilization the recasted 2018 MLR would have been 83.3% 410 basis points higher than a year ago mostly reflecting claim strength higher than premium strength. Let’s move on to the segment quarterly operating expenses, the Managed Care segment operating expenses were up 23 million from a year ago. The increase reflects a $13 million increase from the restated HIP-fee higher professional services and personal cost related to our ongoing operational and clinical Managed Care initiative and expenses related to the implementation of the new Medicaid model. Let me share some comments on our Life and Property and Casualty segments. Life premiums earned were up approximately 3% from last year primarily reflecting premium growth in the segment individual line of business. The segment’s operating income was 5.7 million 1.2 million higher year-over-year reflecting higher volume of business. As Bobby mentioned in our property and casualty segment reported this quarter and on favorable prior period reserve development from losses related Hurricane Maria that entirely covered by insurance. The estimated gross losses related to this event increase this quarter by 68.9 million from 899 million as of June 30, 2018 to 968 million as of September 30, 2018 which increased net claims incurred recognized during the gearing quarter by 52.3 million. This increase in the loss expectation from the Hurricane Maria caused the segment 46.9 million net operating loss during this quarter. As is the case for all claim liabilities the gross losses related to Hurricane Maria are based on our best estimate of the ultimate expected cost of claims with information currently on hand and are subject on certainty. As of November 6, 2018, we have received about 17,645 claims related to Hurricane Maria and have paid losses and loss expenses of approximately 513 million. As Bobby mentioned on November the 2nd our property and casualty segment enter into an insurance agreement which is considered effective as of April 1, 2018. This agreement provides catastrophic coverage into two ways one portion of the agreement is retroactive and covers 50 million in excess of the 76.5 million of Hurricane Maria on payroll development we had recorded during the second quarter of 2018. The second portion is prospective and expand the gearing catastrophe insurance coverage purchased from these reinsurance for a period of five years ending March 31, 2023. This agreement improved our BMC statutory capital and surplus as well as its risk based capital ratio. We have used the amount of additional capital infusion required into the segment and looking for insurance pricing for the next five years. In addition, should we end up non-incurring claims up to the full amount, we will be able to receive 75% of the excess premium pay in excess of the covered losses from the - when the contract expires in 2023. Since this agreement was executed in November 2018, it will be recorded in Q4 financial statements. The immediate impact in our income statement will be primarily related to the increased cost of the prospective insurance coverage, which we estimate will increase our current reinsurance cost by approximately $5.2 million each contract year. For Q4 2018, we estimate reinsurance cost will increase by approximately $4 million, since this contract is retroactive, to April 2018. In future periods, the increased reinsurance costs will be offset by the amortization of approximately $25 million deferred gains related to the retrospective component, which will be amortized in the recurring proportion to Hurricane Maria claims spend. Now, returning to our overall results. Consolidated income tax benefit was $3 million, compared to an expense of $12 million in the prior year period, primarily reflecting the favorable research development recognized by the property and casualty segment in the third quarter, and the favorable impact of lower claim utilization in the Managed Care segment earnings, in the prior year following the landfall of the hurricanes. Total cash and earning business at the bearing company level was $59 million as of September 30, 2018. Although, we're obviously disappointed with the result this quarter, we believe that the underlying business in each of the Managed Care, Life, and P&C segments, remains sound. And our overall long-term growth strategy, we have noted on prior calls, remain unchanged. We will now proceed to our Q&A section. Operator, please open the call for questions.
Operator: [Operator Instructions] And we'll go first to Peter Costa, Wells Fargo Securities.
Peter Costa: Let me see if I understand this reinsurance cover agreement correctly. So rather than booking a gain in the fourth quarter, you're going defer that gain and amortize it over the period of the contract and that's going to offset the cost of the premiums for this contract other than in the fourth quarter itself where you're going to pay $4 million because it's retroactive, is that correct?
Juan José Román: That is correct. The only other caveat will be the timing. So it will offset fully the $25 million increase in the reinsurance costs, but the amortization will depend or will happen as we pay or use the $50 million. So there could be a mismatch overtime, the timing difference when one will offset the other. But at the end of the five years, one will almost fully offset the other.
Peter Costa: And then from - so you've essentially already used this up with this charge that you're taking at this point and it's really just - the way for me to think about is sort of a loan if you will to protect your capital at the sub, is that the better way to think about this?
Juan José Román: That's a better way to say it, yes.
Peter Costa: So further assessments if claim damages go higher again, you'd have a similar problem taking charge in quarter and could you be - would you be able to do some cover like this going forward or would just use up your capacity to do that sort of thing?
Juan José Román: We could do another one, right. So if that happens then we will evaluate that but they capacity is there, yes.
Peter Costa: And now in terms - you said you had to talk to the government in terms of your plan for your capital being put into the sub, how sure are you of where you are with that and - that this plan will work versus you being having to put in more capital right away?
Juan José Román: We did meet already with the commissioner, presented our plan, now we are formally presenting the plan, they're going to review - obviously there is no guarantee but the feedback was positive.
Peter Costa: And now let's look at the claims and see where we're going with that at this point. So I've got a little bit of a mismatch in terms of the claims, in terms of the way they've been coming in versus what you're saying now versus what you said before. If I go back and look at sort of the claims, the dialogue we've had in the past it looks like you had maybe 80 claims more in this past quarter than what I would have otherwise calculated if you'd said sort of 125 before and then 75 would have been the number up towards the end of August and then 613 in the last month of the quarter. But yes, you said you had an average of 160 of the prior quarter's numbers, 200 in the quarter before that. I don't know - so many numbers around here. But basically it looks like there's more claims coming in and then you know even more with if I look at the 17,645, that looks like almost 100 more claims as opposed to the 40 more claims that you talked about in the last month. So where's the mismatch in my numbers?
Juan José Román: Yes, let me clarify it. So in July we'll receive 160, almost 147, then it jumped to 613 in September. So the total for the quarter was 921, Q2 total was 899. Now in the month of October we received 40 claims.
Peter Costa: End of August or August 28 you put out saying that you had or at our conference I guess it was, you talked about smaller number of claims at that point in time. It seems like the number increased a little bit.
Juan José Román: Yes, so what happened is that in September, the numbers were coming down every month as we discussed before. What happened in September we saw a rush in off claims which we attribute to the news that people believed that they only have one-year to submit claims or even to submit a loss. So that's why we saw that normally of an increased - we were averaging 100 to 150, I think that was what was coming that the average was coming down close to 150. Then in September we saw the spike to 600, however in October it went back down to 40. Do that clarify?
Peter Costa: Maybe I'll get back to you and do offline. So looking at claim damages or paid claims, you said you paid 513 million of claims at this point, is that correct?
Juan José Román: That is correct.
Peter Costa: And that's up from 430 last quarter, is that correct or was it 390?
Juan José Román: Last quarter it was 390, yes.
Peter Costa: 390, okay. And so last quarter the 430 was sort of the amount of claims that you had received but had not yet paid, and what's that number today of claims received but not paid?
Juan José Román: Yes, so in reserve right now we have $455 million of reserve that we have available, that we have an update.
Peter Costa: And that's claims received that you have not paid?
Juan José Román: Received plus IBNR.
Peter Costa: So it's plus IBNR. So what's the IBNR component of that?
Juan José Román: IBNR is around $15 million.
Peter Costa: $50 million?
Peter Costa: $15 million, 15.
Peter Costa: So that's not a really big IBNR at this point for remaining claims coming in given that they come in at a rate of 40 a month or so. Do you believe then that you're going need to adjust that higher or is it there is some view that some of the claims that you received is going to go down in value?
Juan José Román: They're coming down. The majority of what we're seeing is really personal claims now. That doesn't mean we will not - we are not receiving commercial but the majority is really personal claims.
Peter Costa: Can you talk about the business interruption insurance and where does that stand at this point in time?
Juan José Román: Yes, as of September 30, around 8% or $80 million is what being estimated incurred or business interruption is around 8% of the total loss.
Peter Costa: And then how much of that have you settled at this point?
Juan José Román: A little bit more than half.
Peter Costa: When I read the press in Puerto Rico it seems like there is quite a bit of disruption between people's expectations in terms of what as we paid versus what actually being paid. Does that mean that these claim numbers and amendments and reopened claims are going to continue going forward? How should I think about that in terms of and how are you thinking about that at this point?
Bobby García: Yes, I would say Peter and this Bobby that we do our best to reach estimates that are reasonable based on due diligence and work of our adjusters and there's always room for interpretation negotiation but there comes a time when you determine that your reserve is reasonable and if the other party for whatever reason has a different interpretation than it will have to go either in arbitration of some kind of legal proceeding. Because there are - as you say there's a lot of press out, there are a lot of public adjusters that have gotten involved in this. And so at some point you need to say we feel that we have done our job and we will stand by our numbers.
Peter Costa: Of the incremental 52 million this quarter how much of that was related to the new claims that came in versus claim amendments or reopened clients?
Juan José Román: New claims is - I don’t have increase - slightly higher product but 50/50 within 50% or 60% is what we estimate is from new claims.
Peter Costa: And then getting away from the P&C business for a minute, the theme of the bar that’s really 119 where that will take effect. What do you think that can do from an operating point of view in terms of improved cost?
Juan José Román: We will see some savings from the pure operational standpoint right. They will be some efficiencies will be one PBM. There are some those are lower than our previous contract, so we will see some savings from the operational standpoint. In the multi-year utilization we will see saving part of it was took into consideration when we prepared our deep for the MA at that time we did have a very good sense as to how much will be the savings that was we took that into consideration to improve their benefits and our product in MA. And in the case of commercial actually that will help us to ban or control the increased cost that we're seeing specifically in pharmacy. So the benefit that we see for commercial is ban the cost but also should allow us to be more competitive especially for new accounts.
Peter Costa: So from a bottom line impact not that big deal but more from a maintenance of the existing book of business that you have increasing your competitiveness going forward at this point is that correct?
Juan José Román: It’s a good way to think about it. We do expect some positive in the MRR of our commercial so we’ve taken a balanced approach for this up to here.
Peter Costa: And then you increased for this year your view on operating expenses by 20 million at the bottom and what was that the top so called 15 million at the midpoint. And it looks like it was really for marketing for Medicare and Medicaid. You kind of knew about that that you’re going to have marketing before and you knew you were going for Medicare and you knew that you would have the open enrollment period for Medicaid. Why did you increase that number at this point?
Juan José Román: First of all we did increase and perhaps to do with the Medicaid it’s not only marketing, but they are significant change in the new program so is requiring us to invest or to incur expense related to systems. And the setup of certain additional requirement from the contract so that is new. We have decided to increase our business promotion for our MA, so this is efficient we took based on what see in the market our product. So we are best some additional money, so we did decided to increase some of the expenses related to the enrollment process of our MA. Lastly we do have some increases in professional services for projects that started later during the year that are impacting our expenses.
Peter Costa: And then looking at the life count in Medicaid, you're down about 100,000 lives little more given the other enrollment period and how many of those lives do you think you’ll get back or how much growth can you get from the choosers as people proceed to the open enrollment period choosing you know which plan they are going to get given there is an incremental health plan offered?
Bobby García: It’s too early to tell Peter, we do feel optimistic just based on the activity in our regional offices, the visits to our website what we hear from providers, our call centers. So we are expecting an increase but at this point we can’t give you an estimate of that number. So the closer we can get to our prior number the better, but it’s still early.
Peter Costa: Presumably you have a view on people choosing you at this point in time but you don't really know who is choosing somebody else. When do you find out how many of your current lives have chosen somebody else is that come to you almost immediately or does that take a month or two to get here?
Juan José Román: It will take probably a month to start seeing the information. We have not received yet the official numbers for the week that it started just a week. But for example I thought today we’re trying to prepare for the call and for the question but we have not received from the government yet how the membership has changed. So to above these point is more what we see based on the calls, their visit to our offices and we see a good momentum but we don’t have data yet to share.
Operator: [Operator Instructions] And we'll go next to [indiscernible].
Unidentified Analyst: I’m just a little confused I think you were using some figures of $8 billion to $9 billion of P&C losses of which you have 15% market share when speaking in the last couple of months. Is that still accurate?
Juan José Román: Well those figures were provided by the commissioner issuance. He estimate that based on what he has seen, that it could be around $8 billion total losses not commercial total for the market.
Unidentified Analyst: And then so where does the $10 billion different plug-in from ISO PCS because you think these figures it seems like you're still under reserved from 100 million to 1.6 billion?
Bobby García: Yes, well John I would say first that when you look at figures from company such as that those are….
Unidentified Analyst: Such as the gold standard?
Bobby García: No, I am just saying that they include - what I am saying is they include the insurance that may not be covered locally and that includes pharmaceuticals are include large multinational the national retailers. And so we’re using numbers that are built from our current portfolio so - not just a find a percentage to total market.
Unidentified Analyst: So those numbers okay go ahead apologize?
Bobby García: No, that’s pretty much it yeah.
Unidentified Analyst: And then - those current numbers, they’re using actual numbers that you feel like you're going to have to pay versus the actual claim is by the adjusters is that correct?
Bobby García: Yes, but also we’re taking into account the other parties estimates as well and documentation. So it's an ongoing process of review together with the claimant
Unidentified Analyst: Which keeps ratcheting up. So I mean I guess my next question is, how much have you guys allocated in your guidance for increased legal expenses? It seems like the island is chock full of litigators at this point.
Juan José Román: Usually what we do is that we estimate our loss adjustment expenses or LAE, is based usually a percentage of the total estimated claims. But that includes expected legal cases. So the reserve consider expenses to settle the claims…
Unidentified Analyst: At this juncture how much are you spending incremental and legal expenses given that the last couple of months which probably starts connectivity increased dramatically.
Juan José Román: Not much at all. There has been some losses, some of them anyway we're trying with the third party to resolve but at this point minimum.
Operator: And at this time there are no further questions. I would like to turn the conference back over to management, for closing remarks.
Garrett Edson: Okay. Thank you, Operator. And we'd like to thank everyone for your time and ongoing support of Triple-S. If you have any additional questions, please reach out. Have a wonderful morning.